Operator: Good morning. My name is Lindsay, and I will be your conference operator today. At this time, I would like to welcome everyone to Noble Corporation's third quarter 2016 earnings call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. Mr. Jeff Chastain, Vice President of Investor Relations, you may begin your conference.
Jeffrey L. Chastain - Noble Corp. Plc: Okay. Thank you, Lindsay, and welcome, everyone, to Noble Corporation's third quarter 2016 earnings call. We appreciate your interest in the company. In case you missed it, a copy of Noble's earnings report issued last evening, along with the supporting statements and schedules, can be found on the Noble website and that's noblecorp.com. Before I turn the call over to David Williams, I'd like to remind everyone that we may make statements about our operations, opportunities, plans, operational or financial performance, the drilling business, or other matters that are not historical facts that are forward-looking statements that are subject to certain risks and uncertainties. Our filings with the U.S. Securities and Exchange Commission, which are posted on our website, discuss the risks and uncertainties in our business and industry and the various factors that could keep outcomes of any forward-looking statements from being realized. This includes the price of oil and gas, customer demand, operational and other risks. Our actual results could differ materially from these forward-looking statements, and Noble does not assume any obligation to update these statements. Also, note we are referencing non-GAAP financial measures in the call today. You will find the required supplemental disclosure for these measures, including the most directly comparable GAAP measure and an associated reconciliation, on our website. And finally, consistent with our quarterly disclosure practices, once our call has concluded we will post to our website a summary of the financial guidance covered on today's call, which will address fourth quarter and full year 2016 figures. With that, I'll now turn the call over to David Williams, Chairman, President, and Chief Executive of Noble.
David W. Williams - Noble Corp. Plc: Okay. Thanks, Jeff, and good morning, everyone. I'd also like to welcome everyone to our review of our third quarter 2016 results and to thank you for your interest in Noble. We hope you understand the decision to break from practice and host a Friday morning call rather than our traditional timing of Thursday morning, which has proven to be a very popular day to post calls throughout the oilfield services sector. We hope you'll appreciate the revised timing by having an opportunity to hear in real time the topics that we think are important to cover, and the management of Noble is certainly interested in hearing from you. Besides Jeff, I'm joined this morning by Dennis Lubojacky and Simon Johnson. Dennis is currently serving as our Interim Chief Financial Officer and doing a great job. Appreciate Dennis very much. He'll provide an overview of our third quarter financial results and update our financial guidance for the final quarter of 2016. Simon, who serves as our Senior Vice President of Marketing and Contracts, will bring you up-to date on a number of topics specific to the Noble fleet and our outlook on the market. I'm going to open this morning with some brief comments on the quarter, followed by a word on some recent contract successes. Dennis and Simon will offer expanded details on these initial points a little later in the call. I also want to address the current status of the Noble Lloyd Noble, which is scheduled to commence operations during the fourth quarter of this year. Before we begin addressing your questions, I'll offer some final thoughts, including some preliminary numbers on 2017 financial guidance, including operating costs, SG&A expectations, and capital expenditures, which will help you keep your 2017 financial models on Noble current. Third quarter results were impacted by a little higher downtime than expected, the acceleration of a 30-day shipyard program from 2017, fewer operating days in the floating fleet, and lower dayrates for both jackups and floaters. Although we reported a net loss attributable to Noble of $0.23 per diluted share, we continued to demonstrate good cash flow from operations of $101 million, increasing our total for the first nine months of 2016 to $963 million. Our liquidity position remained healthy at about $2.9 billion, including $426 million of cash and equivalents, and that's after the $409 million payment in July to deliver the Noble Lloyd Noble. Our revolving credit facility of $2.445 billion remains undrawn and available. As I've stated before, our healthy contract backlog, successful efforts to align operating costs with the reduction in offshore activity, a solid liquidity position, and manageable debt maturities in the near term will prove beneficial as we steer our operation through the remaining period of this stubborn industry cycle. Also, contract awards that occurred during the third quarter and just after its close demonstrate that we continue to benefit from strong fleet performance, excellent client relationships, advantageous regional fleet positioning, and a premium fleet with the right technical features. The semisubmersible Noble Paul Romano received an extension that assures the rig will be contracted into December 2016. Also, our jackup fleet continues to enjoy strong relative performance with utilization in third quarter of 80%. And with the recent contract awards for the jackup Noble Regina Allen and the Noble Houston Colbert, we continue to benefit from steady to improving jackup fleet utilization as we enter 2017. In fact, we currently expect to work all 14 of our jackups during 2017. Our newest jackup, the Noble Lloyd Noble, completed its mobilization from Singapore to the UK over the third quarter and is now jacked-up on location at Statoil's Mariner field. The rig is undergoing final acceptance testing prior to the official commencement of its four-year primary term contract, which is expected by late November. The Mariner project is a significant program on the UK Continental Shelf, and we're proud to support our client Statoil with contract drilling operations with one of the most advanced, technically sophisticated jackup rigs in the offshore business. Now I want to make a brief comment regarding recent developments with Paragon Offshore organization. As most of you know, the bankruptcy court did not confirm Paragon's reorganization plan. However, I want to point out the decision by the judge last Friday was only a rejection of that particular plan. It does not preclude Paragon from reorganizing under a revised plan, which we would assume that they would intend to do. Irrespective, we continue to believe that any potential claims against Noble in respect to the spin-off would be without merit. And, with that, I'll turn the call over to Dennis.
Dennis J. Lubojacky - Noble Corp. Plc: Thank you, David, and good morning to everyone. I'm going to keep my comments on the third quarter brief, since our press release issued last evening provides a detailed review of the quarter's results. Following my summary of comments on the quarter, I'll provide updated financial guidance for the fourth quarter and full year 2016. As you saw in the earnings statements, Noble's reported a net loss attributable to the company in the third quarter of $55 million or $0.23 per diluted share on revenues of $385 million. The results compared to the adjusted net income attributable to the company in the second quarter of $1 million or $0.01 per diluted share on adjusted revenues of $502 million. The second quarter results are stated as adjusted figures and exclude net favorable after-tax items of $322 million or $1.27 per diluted share, resulting largely from the contract cancellation agreement with Freeport-McMoRan and its subsidiary, Freeport-McMoRan Oil & Gas. We have posted a non-GAAP schedule on our website providing a reconciliation of total revenues, income tax, net income/loss attributable to Noble, and diluted earnings per share for your convenience, and the same information can be found at the end of our press release after our quarterly financial results. Contract drilling services revenue in the third quarter was $373 million, representing a 23% decline from second quarter revenues of $484 million, adjusted for contract cancellation settlement with Freeport-McMoRan. The decline in revenues was driven largely by a 9% reduction in operating days throughout the fleet. The reduction in operating days was most pronounced in our floating rig fleet, where we experienced a decline of 18%, due primarily to two rigs involved in the contract cancellation and settlement with Freeport, as well as an increase in shipyard days due to thruster repairs on the Noble Bully I and our decision to accelerate a regulatory procedure on the Noble Globetrotter I to accommodate our client's well sequencing schedule. The procedure was previously scheduled for 2017. Operating days in our jackup fleet were only 3% lower in the third quarter when compared to the second quarter, due largely to idle time on the Noble Houston Colbert following the rig's completion of work in Argentina and relocation to the Middle East. More importantly, we expect operating days in the jackup fleet to remain steady to higher over the near term, due to some contracting successes. Also, downtime in the third quarter was modestly higher at 6% compared to our guidance of 5%. Our third quarter financial guidance offered on our last call and pertaining to certain line items on the P&L proved to be accurate on most of the items covered, including contract operating costs, which totaled $207 million, in the middle of our expected range of $200 million to $215 million. Of the remaining items covered, only SG&A and noncontrolling interest fell outside of the guided range. SG&A totaled $16 million in the third quarter, compared to guidance of $20 million. Noncontrolling interest were $11 million in the third quarter compared to guidance of $18 million. The variance was due to lower-than-expected performance from the drillships of Bully I and Bully II, with the Bully I experiencing out-of-service time to address thruster repairs and the Bully II operating for a portion of the quarter at a standby dayrate. Capital expenditures in the third quarter were $472 million, compared to guidance of $500 million, largely comprised of the Noble Lloyd Noble final payment. We did see lower-than-expected spending for maintenance capital in the quarter, which contributed to the favorable variance. Before I begin updating for the remaining of the year, I'd like to bring you up to date on our balance sheet and liquidity position. Total debt at September 30 was $4.1 billion, unchanged from the amount at June 30, with $300 million classified as current maturities of long-term debt. The $300 million represents our March 2017 senior note maturity, which we can repay with cash on hand. The debt-to-total capitalization ratio at September 30 was 34.7%, essentially unchanged from the June quarter but improved from 37.5% at the close of 2015. Liquidity at the close of the third quarter of $2.9 billion was slightly down from $3.3 billion at June 30, due chiefly to the $409 million cash payment for the delivery of the Noble Lloyd Noble. The components of liquidity at September 30 were cash and equivalents of $426 million and our undrawn revolving credit facility of $2.445 billion. I'll now review our guidance for the full year 2016 and the fourth quarter, beginning with operational downtime. Guidance for 2016 will remain at an average of 5% across the fleet. Note that since the start of the fourth quarter we have experienced out-of-service events, which include some planned maintenance on the Noble Bob Douglas of 11 days and the Noble Globetrotter I of 15 days and the Noble Bully I of 14 days. All three rigs have now returned to service. As a result of these events, downtime in the fourth quarter of 2016 is expected to average 6%. Contract drilling services costs in 2016 are being adjusted slightly lower to a range of $890 million to $910 million, or 1% below our previously guided range. The revised range is now 17% lower when compared to our initial 2016 operating cost guidance provided in January. As we noted last quarter, several of our high-specification rigs are currently inactive, and by deciding to warm- or cold-stack the units during the inactive period, we're able to effectively manage daily costs, and we continue to evaluate these costs. Costs associated with client reimbursables in 2016, expected to be in a range of $50 million to $55 million, resulting in total costs in 2016 of $940 million to $965 million. Contract drilling services costs in the fourth quarter are expected to fall in the range of $190 million to $205 million, reflecting in part the decline in fleet operating days, caused in part by the idle time on the Noble Tom Prosser following the end of its contracts in late September, which will be partially offset by incremental costs resulting from the expected late-November commencement of operations on the Noble Lloyd Noble and the return to service of the Noble Regina Allen, both in the North Sea. Costs associated with client reimbursables are expected to range from $11 million to $13 million in the fourth quarter, reflecting the decline in our active rig count. DD&A in 2016 is expected to be in the range of $600 million to $610 million. In the fourth quarter, DD&A is expected to be in the range of $150 million to $155 million. SG&A costs in 2016 is be lowered to a range of $70 million to $73 million, compared to a previous range of $75 million to $80 million, due largely to additional cost management efforts and lower professional fees. In the fourth quarter, we expect SG&A costs to be approximately $16 million. The guidance range for interest expense net of capitalized interest is essentially unchanged from previous guidance at $222 million to $230 million, based on our existing debt structure. Net interest expense in the fourth quarter is expected to be in a range of $55 million to $60 million, as we experience lower capitalized interest following the Noble Lloyd Noble commencement of operations. Capitalized interest is expected to total $20 million for 2016. The minority interest line on our P&L representing the Bully I and Bully II, 50-50 joint ventures with Shell is expected to total $70 million to $75 million in 2016, including $18 million in the fourth quarter. The expense is ultimately dependent on the operational performance of the two jointly owned rigs. Our effective tax rate for the full year 2016 is now expected to be in the range of 9% to 11%, which reflects the impact of discrete items recognized over 2016. Changes in the geographic mix of our business, our sources of revenue and tax assessments or settlements, along with changes in law and movements in certain exchange rates can also influence the tax rate. And, finally, we have slightly reduced our capital expenditures in 2016 to an estimated $655 million, down from our previous guidance of $675 million and our initial guidance for the year of $800 million. The lower spending expectation is driven by reduced spending across all categories, especially in the areas of maintenance capital and major projects. We will include the breakdown of spending by major category with our guidance summary to be posted to the Noble website following the conclusion of today's call. Capital expenditures in the fourth quarter are expected to run $60 million. With that, I'll turn the call over to Simon for some thoughts on the market outlook.
Simon W. Johnson - Noble Corp. Plc: Thank you, Dennis, and good morning to everyone. When I addressed the first half of 2016 three months ago, I noted a positive trend had developed with regard to customer inquiries. This trend has continued through the third quarter and has begun to translate into some contract awards. Although our sector remains fundamentally challenged with low customer activity and available supply inventory that will continue to grow in the near term, we are encouraged by the increased dialogue with our customers and, by extension, the improved potential for work assignments. I'll start my discussion, though, with a quick review of Noble's recent contract awards and how we see opportunities developing for those rigs in our fleet that have near-term availability. In September, Noble Regina Allen was awarded a six-month accommodation contract in the North Sea, which commenced on October 6. The rig was previously warm-stacked in Denmark. Also, the Noble Houston Colbert was awarded a contract in Qatar for a sour gas well that was expected to commence operation in December. The jackup was recently demobilized to the Middle East after completing a term program offshore Argentina. The award provides a clear demonstration of the advanced capabilities of our JU-3000N rig design and our company's proven competence in delivering critical service wells that match a client's challenging well construction requirement. As we look across our rig fleet, we note that of the nine units delivered over the past seven years, most are engaged in HPHT work, which speaks volumes about the high value our customers place on our rigs and crews. Like other contractors, we've decided against disclosing certain dayrates in our fleet status report. Our decision to protect this information relates to ongoing opportunities for these and/or other rigs in our fleet with near-term availability, a practice that we believe is prudent in light of the extremely competitive landscape. In today's challenging business environment, our measure of success continues to be our ability to secure drilling assignments for our rigs, at the same time maintaining utilization for our active fleet, especially our most advanced assets. It's essential that our customers' preference for hot-rig operations with established and skilled crews and strong safety results continues to drive their decision-making. As we manage through the final quarter of 2016, 20 of our 30 rigs are currently under contract. Of our 10 uncontracted rigs, nine are floaters. Six of these nine are cold-stacked units for which we're not actively seeking work assignments. Note that our cold-stacked floating fleet now includes the semisubmersible Noble Danny Adkins, which we're in the process of transitioning from a warm-stacked status. Like its sister rig, the Noble Jim Day, daily costs on the Adkins while cold-stacked are expected to run in the range of $10,000 to $15,000 a day once the rig preservation process is complete. Our remaining three warm-stacked rigs are the Noble Sam Croft and Noble Tom Madden in the U.S. Gulf of Mexico and the Noble Clyde Boudreaux in the Far East. We continued to evaluate opportunities for each of these units, but we believe it is unlikely any of the three will become active before the close of 2016. However, because we remain optimistic regarding each rig's opportunity to return to active service at some point in 2017, we believe it is prudent to maintain a warm-stacked posture. Two of our floating rigs, the Noble Bob Douglas and the Noble Paul Romano, are set to complete contracts during 2017. We believe both units are well-placed to continue working beyond their current firm contract periods. Across our floating rig jackup fleet, only one unit is currently without a contract, the Noble Tom Prosser. As we reported in September, our client elected to exercise its right to terminate the contract prior to expiration of the defined contract term. As a result, Noble will receive a termination fee of approximately $16 million. The Tom Prosser is currently being demobilized to a location that maximizes its ability to pursue near-term work in the region. We continue to believe that our jackup fleet, with compelling advantages that include an outstanding performance record and premium technical capabilities, should experience steady utilization in the near term. Before I pass the call back to David, I want to give you a sense of offshore activity by region, starting first in the Western Hemisphere. In the U.S. Gulf of Mexico, market inquiries are muted and few opportunities are present. Nevertheless, this region should be one of the first areas to where increased customer spending appears, due to the ample infrastructure in place, the prolific nature of the hydrocarbon opportunity, and the fast-moving market for investment. In Mexico, some 26 companies are being preapproved for that country's first deepwater lease auction, which will be held in December. Mexico continues to be a bright spot, although more time is required to understand incremental rig needs. Elsewhere in Latin America, rig demand is expected to remain essentially flat. Needs in Brazil continue to be weak, and we are fortunate to have no units exposed to that market at this time. We look forward to reentering this important region when conditions improve. In the Eastern Hemisphere, West Africa remains quiet, although we've seen some discrete opportunities emerging in the Gulf of Guinea. Critically, the proven basins offshore Angola and Nigeria appear set to trend lower for the immediate future. We expect the North Sea to improve in 2018 as the region experiences higher activity in the UK and Norwegian sectors in particular. Activity in 2017 is expected to be flat to lower. The Middle East remains the most immediately promising jackup market, with visible rig requirements emerging through 2017. Finally, customer interest in Asia-Pacific has improved in recent weeks. But it remains to be seen if this will translate into actual fixtures. This area is suffering from a significant capacity imbalance in both floating and jackup segments that will remain with us for some time. Speaking generally, we believe that our performance record and our culture of operational efficiency and integrity allows us to compete strongly against other industry participants. In what remains a difficult environment, we are continuing to win more than our share of the work that becomes available. The rigs that we have with near-term availability are positioned advantageously within or at the gateway of those basins where we expect there to be the best prospects for new work. Lastly, I want to talk to you about how Noble is competitively advantaged relative to its peers. The Globetrotter II offers a case in point. With the assistance of our vendor Huisman and the sponsorship of our customer Shell, we have just transferred the rig from the Black Sea underneath the two bridges that span the Bosphorus and then through the Suez Canal in what we believe is a world first for a floating rig. We removed the multipurpose tower, using our rig crane, then reinstalled it in a matter of days as we entered the Red Sea. This unique ability stands in stark contrast to conventional rigs, which take months to accomplish the same task while requiring the expense of additional third-party services, such as crane barges, heavy lift vessels, and long shipyard stays. We can access the Black Sea, the Indian Ocean, the Mediterranean, and the Atlantic and Pacific oceans with an unparalleled ease, speed, and economy. The next challenge for our perfectly named Globetrotter class of drillship is the Panama Canal. That milestone awaits nothing more than a customer with the will to drill in the Pacific and an interest in unmatched savings in time and in expense. That concludes my remarks, and I'll now turn the call back to David.
David W. Williams - Noble Corp. Plc: All right. Thank you, Simon. Despite the promising discussions involving efforts to manage crude supply and create more crude oil price support that have developed since the last proposal of the change in OPEC strategy, our industry continues to face a rig capacity imbalance, which we expect to persist well into 2017. The imbalance which weighs heavily on our industry at present will diminish over time regardless of an OPEC production ceiling, as customers show a contracting preference for working or hot rigs and return to offshore projects that are reinvigorated by lower cost and advanced technologies. I'm confident, following discussions with a number of exploration development companies, that the offshore opportunity is vital to our customers' long-term strategic growth. Further, we believe that the restart of the offshore spending engine, together with active rig supply rationalization, will return us to a more balanced state in time. As the offshore drilling business bottoms, presumably sometime in 2017, and begins the next phase of the cycle, Noble will continue to demonstrate strong operations execution and financial discipline. These have been key factors in our ability to maintain a solid industry position and navigate the trough effectively. As Dennis noted earlier, we expect our continuing cost management efforts in 2016 to result in a 17% reduction in contract drilling costs compared to our cost expectations at the beginning of this year. The favorable variance results from a combination of lower-than-expected activity, further efficiency improvements, and lower overhead cost. As these factors carry over into 2017, we expect to demonstrate further progress. Although we have yet to finalize our budget, contract drilling services costs for 2017 are expected to come in under $675 million, while SG&A should settle into a level about $60 million, which compares to our guidance for this year of about $72 million. Capital expenditures, which we have notionally identified as around $250 million or less for 2017, should in reality be no more than $125 million. These initial estimates of operating costs, once confirmed, will maximize cash flow from operations and generate healthier operating margins, while an expected significant reduction in capital expenditures, along with continued contracting success and cost management, should result in a positive free cash flow position for the company for the year. We believe Noble remains in a position of relative strength as we assess what is certain to be another challenging year for the industry. Excellent operations performance, solid contract cover, significantly reduced capital expenditures, and manageable debt maturities are advantages that few in our business possess. They represent the foundation of our solid industry posture. Our attention to liquidity preservation will remain a chief component of our financial strategy as we plan ahead. The recent decision to eliminate the cash dividend is an action taken that will add approximately $60 million to our cash position over the next three years. We also believe our contract coverage, our foundational strength, and robust liquidity affords us ample time to consider a variety of capital strategies. We're working closely with our newly formed Finance Committee and indeed our full board to review and address these capital strategies. With that, I'd like to say thank you for your attention and interest in Noble, and I'll now turn the call back over to Jeff, and we can take some questions.
Jeffrey L. Chastain - Noble Corp. Plc: Okay. David, thank you. Lindsay, we're ready to begin the question and answer segment of the call. So if you'd go ahead and assemble the queue.
Operator: Our first question comes from the line of Timna Tanners with Bank of America Merrill Lynch. Your line is open.
Timna B. Tanners - Merrill Lynch, Pierce, Fenner & Smith, Inc.: Yeah, hey. Good morning, guys.
David W. Williams - Noble Corp. Plc: Good morning.
Timna B. Tanners - Merrill Lynch, Pierce, Fenner & Smith, Inc.: I was just wondering – I know some of the other calls we've heard some characterization of the different floater opportunities out there between five and seven in the near term? And just wondered if you could help give us some detail around the kinds of opportunities you're seeing, or maybe the number of available ones for your fleet on the floater side?
Simon W. Johnson - Noble Corp. Plc: Hi, Timna. Look, we're a little bit reluctant to give you hard numbers. I think both ourselves and our peers have talked about how competitive the landscape is out there right now. But broadly I would agree with those kind of numbers. There are some big floater opportunities in the second half of 2017, not as many as we need to balance the market, obviously, but there's certainly some early signs of a positive developing trend there. The jackup market is still a little bit more muted here in the near term, but we see some good jackup programs emerging through late 2017 and into 2018 as well.
Timna B. Tanners - Merrill Lynch, Pierce, Fenner & Smith, Inc.: Okay. Fair enough. I was going to ask about further cost cutting, and then you flew through really quickly the OpEx outlook for next year. So I'm afraid I missed it, and I just want to ask if you could just repeat that and provide some color on what further cost-cutting you have available? Thanks.
David W. Williams - Noble Corp. Plc: Sure. I think what I said was contract drilling costs were under $675 million for next year. Our capital program, which we had earlier kind of given an indication of $250 million or less, should be under $125 million for next year. And I'd look for SG&A to be around $60 million. And those are just continuing measures that we're taking with the fleet. And, again, I said that we expect to work sometime during next year all 14 of our jackups and a variety of our floaters. So some of it's fleet mix, some of it's further measures we're taking, and we're just focusing on cash.
Timna B. Tanners - Merrill Lynch, Pierce, Fenner & Smith, Inc.: And just conceptually, if oil prices continue to drift or if conditions disappoint, how much more cost do you have to take out of the system? Or do you think you've done – in final stages there?
David W. Williams - Noble Corp. Plc: Well, I think what we've said previously is that we're in the final stages. There are always more things we could push on. We're pushing on everything we can. Unfortunately – or fortunately, I guess, depending and how you look at it – our costs really aren't a function of oil price. Our costs are a function of how many rigs we're working. And so we have good contract coverage for a number of floaters. We're continuing to have success in the jackups. We'll be starting up the Lloyd Noble here fairly soon in the North Sea, which even though it's a very big rig, the cost to operate that rig will be consistent with other North Sea style jackups. So it's a function of how many rigs we've got working, and I would say that we've got probably better contract cover than most. And so we'll give you better guidance on our costs when we finish our budget, but mostly this is what we're comfortable with now.
Timna B. Tanners - Merrill Lynch, Pierce, Fenner & Smith, Inc.: Got you. Okay. Thanks a lot.
David W. Williams - Noble Corp. Plc: Thank you.
Operator: Our next question comes from the line of Haithum Nokta with Clarksons Platou Securities. Your line is now open.
Haithum Nokta - Clarksons Platou Securities, Inc.: Hi. Good morning.
David W. Williams - Noble Corp. Plc: Good morning.
Haithum Nokta - Clarksons Platou Securities, Inc.: David and Simon, you mentioned how operators are increasingly focused on hot rigs, and kind of, I think, less interested in idle rigs. I'm curious, if a lot of these opportunities that you're mentioning have start-ups kind of late 2017, early 2818, which of your floaters are you kind of most marketing for the types of opportunities? Would that be the Tom Madden and Sam Croft? Or would it be something like the Bully I, which has a rollover later next year, which would be presumably in a hotter state?
David W. Williams - Noble Corp. Plc: Well, let me just answer that real quick, and I'll turn it over to Simon. I would say all of the above. I think one thing that people need to be focused on is the active supply. There are a lot of rigs out there, many in shipyards, many that have been delayed, many that have been cold-stacked and many that have been laid up in levels of maintenance that I think have slipped in many cases. I think customers are going to be increasingly focused on hot rigs and those rigs that they know have been maintained or preserved to a certain level. So, for us, the rigs you named and a couple others would include the rigs we'd be pursuing opportunities for, but I would say all of the above of the ones you named. Simon, do you have anything to add?
Simon W. Johnson - Noble Corp. Plc: No, no.
David W. Williams - Noble Corp. Plc: Okay. There you have it.
Haithum Nokta - Clarksons Platou Securities, Inc.: Okay. And then I presume also, for instance, the Tom Madden and Sam Croft, those requiring kind of incremental CapEx apart from a crewing-up type phase for new work?
David W. Williams - Noble Corp. Plc: I wouldn't say they need any CapEx. Those rigs are crewed, they're hot, we can put to sea in a matter of hours if we had to. There would be some restart cost. Most of that cost would be crews and some change-out consumables. If they sit for some period of time, there may be some deferred maintenance, if we had a hoisting survey or something like that that came up, but the capital requirements would be pretty low.
Haithum Nokta - Clarksons Platou Securities, Inc.: Okay. And then -
David W. Williams - Noble Corp. Plc: The rigs were well-maintained; they're new. They're in a condition that's effectively ready to go to work except the equipment that's been preserved, but that preservation of equipment effectively needs crews and time.
Haithum Nokta - Clarksons Platou Securities, Inc.: Okay. No, appreciate that. And then just a last quick one. The expectation for free cash flow positive, that's assuming net of the $300 million of maturity in the first quarter?
David W. Williams - Noble Corp. Plc: Yeah, we're not talking about the maturity. We're talking about operational cover. That would include all of our operating costs, our interest expense, CapEx, all that stuff.
Haithum Nokta - Clarksons Platou Securities, Inc.: Okay. Thank you.
David W. Williams - Noble Corp. Plc: We certainly have enough cash to cover the $300 million that we've already brought current, and so we have that cash available. We could use that. We expect to continue to generate cash this year. We could use the revolver. We have plenty of capacity for that and future requirements.
Haithum Nokta - Clarksons Platou Securities, Inc.: Thank you.
David W. Williams - Noble Corp. Plc: Sure.
Operator: Our next question comes from the line of Sean Meakim with JPMorgan. Your line is now open.
Sean C. Meakim - JPMorgan Securities LLC: Hey. Good morning.
David W. Williams - Noble Corp. Plc: Good morning.
Sean C. Meakim - JPMorgan Securities LLC: I was hoping we could talk a little bit more about the drivers of that free cash flow target for next year. You walked through a number of them, and they all seem pretty critical, but one I'd like to drill in on is incremental contracted days. How critical is that piece to the equation relative to the others? Just thinking about some of those puts and takes for next year.
David W. Williams - Noble Corp. Plc: I appreciate the question. It's a good question. There is in our budget planning for next year some – we do have some uncontracted days that we would expect to fill those days with additional contracts. The marginal improvement from those contracts would not be, I would say, hugely impactful to what our cash flow positions would be. At these rates – particularly for the jackups, the rates are not exceptionally high above our cash operating costs. So additional opportunities help, but I don't know that they are drivers. But we do have some additional contracting days that we'd need to get. But, again, our contracting cover is very strong as we sit right now. We're not uncomfortable making that statement.
Sean C. Meakim - JPMorgan Securities LLC: Okay. That's helpful. And then just maybe on the Sam Croft and the Tom Madden, maybe – could you give us a little more of the degree of warm-stack today? And just – there seems to be kind of a wide spectrum across the industry, and so maybe it's good to get a little bit of a sense of kind of how we'd qualify that today, and how that could change depending on how the outlook may shift for the Gulf?
David W. Williams - Noble Corp. Plc: Yeah, that may be the understatement of the century. I think there's a huge variation across the industry from how people are describing what they're actually doing. In our case, on the Croft and the Madden, we have marine crews on-board the rig and a basic, what we would consider safe manning. And so from a maintenance and marine perspective, those rigs are hot. Again, we could put to sea if we decided we needed to in a very short period of time. We have preserved some of the drilling equipment, and so – a good bit of the drilling equipment. But that, I mean, that – so you're talking about we would need rig crews on board for some period of time to be able to run that equipment, refurbish – replace consumables. We might open up a BOP stack. There are certain things like that. But in terms of capital requirements, it's basically full rig operating costs or a portion of full rig operating costs for a few days – or perhaps more than a few days – but for some period of time to put those rigs in a ready-to-work condition. We would expect an operator to come on board that rig, and we can show them the maintenance records, they could talk to the hands, and they could demonstrate fairly quickly that that rig is being properly maintained and up to snuff. So it's a function of putting crews on board, starting up equipment, getting it hot, and going for it – going to work.
Sean C. Meakim - JPMorgan Securities LLC: Got it. Okay, great. Thanks, David.
David W. Williams - Noble Corp. Plc: Thank you.
Operator: Our next question comes from the line of Gregory Lewis with Credit Suisse. Your line is now open.
Gregory Lewis - Credit Suisse Securities (USA) LLC (Broker): Yes. Thank you, and good morning.
David W. Williams - Noble Corp. Plc: Morning, Greg.
Gregory Lewis - Credit Suisse Securities (USA) LLC (Broker): I guess, David, in your comments, you briefly touched on Paragon and the judge ruling. As we think about go forward from there, is there any sort of timeline on the next steps that happen in this process? Is this a three, six, 12 – I mean, given what's happened, could this drag on now for an indefinite amount of time?
David W. Williams - Noble Corp. Plc: Greg, I'm not sure we're the ones to ask that question of. I think – I mean, technically speaking, we're not a party to that action. We've agreed to support them in some tax efforts in Mexico. We think, given the transaction, the timing of it, and in our involvement, we think that's appropriate. We don't think really anything else is appropriate. But how they go forward, the ruling as I understand it was a rejection of that particular plan, specifically did not preclude them filing another plan, and we would expect them to do that. So I guess that's really all I have any information about. We're not a party to that action, other than the minimal support in Mexico that we've already disclosed.
Gregory Lewis - Credit Suisse Securities (USA) LLC (Broker): Okay, great. And then just one other one for me, kind of bigger picture just trying to understand. I mean, clearly the company has great liquidity with cash on the balance sheet and access to the revolver, but I mean, it seems like more recently that the focus has come down to runway or duration or however people want to talk about it. Is there anything that Noble is thinking about or working on beyond liquidity, which clearly the company has over the next couple years, where the company can actually extend the runway or duration?
David W. Williams - Noble Corp. Plc: Sure. Thanks for the question. We're watching with interest what's going on in the marketplace. There was – a land driller did a pretty nice deal this week. We've watched what Transocean's done with some of the deals they've done, with specific rigs in mind. We're aware of some exchange of equity for debt. We're watching all that. We do believe we have runway. We've got the $300 million tranche that comes due next year with $250 million the year after that and $200 million the year after that. But we've still got well over three years on our revolver. We're in a constant dialogue with our banks. We're talking to advisers. We are, I would say, very focused on the fact that the market has a concern about, as you put it, the runway. I would say that three years is a lifetime in this business – if you look back three years ago, we were completely a different place – but that doesn't mean we're sitting our hands. We've been in active dialogue with bankers, and both our commercial bankers and other, I would say, advisers, if you will. So we're very focused on that element. We have, I think I mentioned in my comments, we put together a group from the board to create a Finance Committee. We had a Finance Committee in the past, but we've reconstituted that group just to make us more nimble in the event that we think there's a strategy that works for us, and we're looking at those strategies and some look interesting to us. But I think that we'll be ready, willing, and able to react when we think it's appropriate and there's the right strategy. We believe we have plenty of time. All the conversation we have with our bankers and advisers, some interesting things go on in the market, but we're going to be careful and strategic in how we do this. We're not standing on the edge of the minefield listening to somebody say "run." So we're going to navigate this appropriately, and I would just say stay tuned.
Gregory Lewis - Credit Suisse Securities (USA) LLC (Broker): Okay. Thank you very much.
David W. Williams - Noble Corp. Plc: You bet. Thank you.
Operator: Our next question comes from the line of Mark Brown with Seaport. Your line is now open.
Mark W. Brown - Seaport Global Securities LLC: Hey. Good morning.
David W. Williams - Noble Corp. Plc: Good morning.
Mark W. Brown - Seaport Global Securities LLC: I was just curious about the Houston Colbert contract that you put forth in the latest fleet status. It seems like a long way to move that rig, given how competitive the market is. How did you get that contract? And I think you referenced the JU-3000 advantages. And I was also wondering if that was a new customer for you on that job.
David W. Williams - Noble Corp. Plc: Let me make one comment. Are you talking about the move from Argentina to the Middle East?
Mark W. Brown - Seaport Global Securities LLC: Yes.
David W. Williams - Noble Corp. Plc: Or the move – well, I mean, there is nothing in Argentina, so it was a foregone conclusion we'd be leaving Argentina. And so we had a demob fee that was paid by the operator. And so we elected to move the rig to a market that we thought was opportunistic for that class of rig and for us. So we didn't move the rig specifically from Argentina to that market for that contract. So with that as a background, I'll let Simon give you some more color on that particular contract.
Simon W. Johnson - Noble Corp. Plc: Yeah, we saw the Middle East as being one of the few markets worldwide for jackups that has got real near-term promise. And certainly we have a long and proud history of working in Qatar. We've actually drilled more wells there even than the national drilling contractor. So I think it was a question of the requirements of the particular well that the customer in question had and our experience in the region and the capabilities of the unit. The well that we're drilling is going to be a very challenging one, and we anticipate there will be opportunities for the rig to continue beyond the firm work program.
Mark W. Brown - Seaport Global Securities LLC: Okay. And is that a new customer for you?
Simon W. Johnson - Noble Corp. Plc: JX Nippon don't operate that many wells around the world. They tend to be more of a joint venture partner. So they're a new customer, I would say, in terms of their status as operator but not as a participant in leases where we've worked for other operators in the past.
Mark W. Brown - Seaport Global Securities LLC: Okay, understood. And, given what you're seeing in the markets, and it sounds like you had some opportunities in various parts of the world – Mexico, for example, North Sea in 2018 – are you looking at any consolidation or getting involved in any M&A activity? And maybe you could talk – if you are, or thinking about that, or is that a possibility – what the industrial logic would be behind that.
David W. Williams - Noble Corp. Plc: Well, I guess, I would answer that by saying that there's a lot of discussion in the market about M&A – and I would say in the financial markets, not necessarily drilling markets. Noble has a history of being involved in those types of transactions. I mean, certainly the company was built through acquisitions of assets and companies, and consolidation with other public companies. So I would say that's a strategy we've certainly used in the past. I would characterize our interest at this point in – we're not opposed to it and certainly are aware of what the opportunity might be in the marketplace. I would say that anything that we think would be good for our shareholders, we're certainly willing to consider. And so that's a wide range, but there's no question who we work to run the company for. So I would say we're monitoring the market and certainly aware of the market. I would say that the valuations are always a problem, and valuations for different companies both on how the market values their companies, as a company, also net asset values make some of those things harder to do at times than others. But certainly we watch with interest. At this stage – I mean, you asked what are the drivers, the strategic drivers, really or the cost savings. And, in some cases, that could be fairly significant. In real dollars it's not a lot, but there would be some savings. So we're aware; we're watching. I wouldn't say that we have a preference one way or the other at this point. I don't think I could say that. But we certainly have a history and would consider it if it was the right opportunity.
Mark W. Brown - Seaport Global Securities LLC: All right. Thank you very much.
David W. Williams - Noble Corp. Plc: Sure. Thank you.
Operator: Our next question comes from the line of Waqar Syed with Goldman Sachs. Your line is now open.
Waqar Syed - Goldman Sachs & Co.: Thanks for taking my questions. A couple of questions. First of all, on IOC demand for floater rigs. We heard from one of your competitors that IOCs need somewhere around $60 per barrel to basically increase their drilling activity. Do you agree with that number?
Simon W. Johnson - Noble Corp. Plc: I think that there's a range of projects with a corresponding range of economic thresholds. So I think it's easy to choose out a data point. I think the more important element of that conversation was that the IOCs have been largely absent from the improving signs that we've seen in the marketplace relative to the independents and the NOCs. So I really think that's the important distinction. Certainly what we hear in our conversations with the IOCs is that it's all about capital preservation. It's about repairing their balance sheet and that their participation in the market is going to be a function of an improving hydrocarbon price. But I don't know whether I'd anchor myself around $60.
Waqar Syed - Goldman Sachs & Co.: Okay. And then if you look forward maybe a couple of years' time, if things are better and you have to reactivate a cold-stacked rig, would you reactivate a rig proactively? Would you wait for a contract in hand? Do you need to be paid for reactivation costs in the first contract? How do you think about that?
David W. Williams - Noble Corp. Plc: Waqar, I think that that's going to be a function of how we view the market. I mean, certainly throughout my 36 or 37 years in this business, we have made a variety of decisions about returning to service rigs that were idle, either warm-stacked or cold-stacked, either prospectively or insisting that the operator pay for it in the primary term. And I think that's a function of how heated the market becomes. I mean, the way this recovery is going to happen, in my opinion, is – and the longer it goes, the weirder it'll be – but you'll see the rigs that are hot and active. You'll see those rigs start to have pricing power in advance of warm-stacked rigs. And those rigs will price up to a level that it makes sense for an operator to step out and take a warm-stacked rig. And, again, as I've already said, the variety of the way different contractors are warm-stacking and describing warm-stacked is very broad at this point. And so I would expect operators – and you're already seeing operators that have taken a rig, they want to go to the rig and talk to the hands. They want to look at maintenance records, and they're very involved in how they're picking rigs. And as they move into deepwater, that's going to become more and more involved. So you'll see some pricing power on hot rigs first, and then you'll see pricing power on the better warm-stacked rigs. And so it will stair-step up. So our decision process was based on what we see. Again, our contract cover is probably better than most, longer. We have contracts that run out to 2023, and those rigs will be working. And so as we see jobs for the Croft and the Madden come up, if we see other opportunities, we may very well step out at some point in the future and do that. But right now, I think we're being very careful with our cash and watching the market. But there's going to come a time. One thing that – Simon talked about conversations with IOCs. There are not that many companies that drive the deepwater and the ultra-deepwater. And they have, as Simon correctly points out, been largely absent. They will admit to you that they can't stay out forever. And so there's going to be a time when they're going to start coming back to work. And so we'll make those decisions when we get there. But, yeah, I would not expect to see Noble jump up and just say we're going to refurbish, or we're going to restart four rigs prospectively. We'll be careful about how we do it because generally, they're going to be coming to work for short-term programs.
Waqar Syed - Goldman Sachs & Co.: Now, for your cost guidance for 2017, that's going to be below $675 million, what kind of daily OpEx reductions are you seeing? I mean, is it like 5% or 10% range? Or could you help us through that?
David W. Williams - Noble Corp. Plc: I'd love to, but I won't. That number is based on what our current expectation is for the budget for the rigs that we expect to work. So the advice I would give you, Waqar, is to look at our most recent fleet status, look at the rigs that are working, how many rigs that is. And I'll let you model how that works out. I could tell you that we're pushing on a lot of things. We will not sacrifice safety, and we won't sacrifice operational integrity. So we're pushing on things we can push on. But, without getting into the specifics with your model, I don't think I can get any more granular than that right now. And again, I will say that I think that's the high end of the range. I think it's going to be – when we finish our budget, I think it'll be below that.
Waqar Syed - Goldman Sachs & Co.: All right. Thank you very much.
David W. Williams - Noble Corp. Plc: Thank you.
Waqar Syed - Goldman Sachs & Co.: Thanks.
Operator: Our next question comes from the line of David Smith with Heikkinen Energy Advisors. Your line is now open.
David C. Smith - Heikkinen Energy Advisors LLC: Good morning. Thank you. On the index-based pricing for the Bully II and Globetrotter rigs, was just curious, is there a floor level for those dayrates? And, if so, is it is meaningfully above recent market rates?
David W. Williams - Noble Corp. Plc: I don't think we want to get into, or can get into right now, exactly the way those are structured with that level of granularity. I could tell you that the indices are market-focused and hindcast, as so I think the first Bully rig comes up in about six or seven months, and so it's a market index. The challenge right now is there's not a lot of data points. So we will be working with our customer in the near future to be trying to sort that out, exactly what the rates will look like. And it will take into account data points in the marketplace, some you may see, some you may not see. And I would say the most recent one we've seen, if it's firmed up, would be, I think there was a $225,000 out there recently. So we'll give you some clarity on that in, I would say, the very near future. Again, we're working with Shell to nail that down for you.
David C. Smith - Heikkinen Energy Advisors LLC: Okay. Appreciate that. And for a follow-up, I just wanted to ask about the Boudreaux. Could you remind us how long its Australian safety case is valid for? And then maybe what the cost or conditions are to renew it?
Simon W. Johnson - Noble Corp. Plc: We'd have to reapply for the safety case, were we to go back in. Obviously we understand what's involved in that process and the fact that we have a near-term work history there is very helpful based on our relationship with NOPSEMA and the acceptance by the local operator community that we understand what's required to work there in a manner that meets all the regulatory requirements. So, yes, we would need to resubmit, but we don't see that as much of a stretch for us given that we've worked there and other similar regulatory environments such as the North Sea very recently – currently, in fact.
David W. Williams - Noble Corp. Plc: Plus our marketing guy speaks Australian, so we think that helps. So we have a history in Australia, and I think we know the safety case regime fairly well. In terms of starting the rig up, again, it would be a similar exercise as what I described on the Croft and the Madden. It would be largely crews, although on that rig there might – I think there's a couple of deferred maintenance items that we would probably go ahead and do, and so they would be contemplated in how we bid that work. It wouldn't be extensive, but there would be some limited capital requirements to put the rig back to work. But we do see opportunities for the rig.
David C. Smith - Heikkinen Energy Advisors LLC: Great. Thank you.
David W. Williams - Noble Corp. Plc: Thank you.
Operator: Our next question comes from the line of Vaibhav Vaishnav with Cowen & Company. Your line is now open.
Vaibhav Vaishnav - Cowen & Co. LLC: Hey. Good morning, and thanks for taking my questions. Just on the Globetrotter I, Globetrotter II, and Bully II, after the initial five years, they've switched to index rates. Can help us understand how that index rates work after the initial five years term?
David W. Williams - Noble Corp. Plc: I think we just covered that on the last question, and it's a backward-looking market index, and again there are not a lot of data points, so we'll try to give you some clarity here in short order.
Vaibhav Vaishnav - Cowen & Co. LLC: Okay. Sorry. Sorry I missed that.
David W. Williams - Noble Corp. Plc: That's okay.
Vaibhav Vaishnav - Cowen & Co. LLC: On the Scott Marks, Roger Lewis, which are expiring in March and July of 2017, what are the expectations there? It sounds like you are pretty optimistic about getting an extension given that you are undergoing regulatory inspection for those? Is that fair?
Simon W. Johnson - Noble Corp. Plc: We don't have a firm extension for those rigs right now. So we're not taking anything for granted in the current market, but those rigs are both engaged on doing high-value work for a very important customer of ours in Saudi Arabia. And we would anticipate that, given their performance record, the capabilities of the units, and our relationship with the client, that we have a good chance to extend them, yes.
Vaibhav Vaishnav - Cowen & Co. LLC: Okay. That's all for me. Thank you.
David W. Williams - Noble Corp. Plc: Yeah, thank you.
Jeffrey L. Chastain - Noble Corp. Plc: Lindsay, let's take a final question, please.
Operator: Our last question comes from the line of Edward Muztafago with Société Générale. Your line is now open.
Edward C. Muztafago - SG Americas Securities LLC: Hey, guys. Thanks for squeezing me in there. I just wondered if I could maybe get you to opine a little bit. We hear quite consistently that there's an expectation of course that the jackup market recovers materially quicker than the floater market. We saw this morning that FMC and Technip EPIC (sic) [EPCI] award for the Trestakk field, which is not one that I think most of us expected to come through. Can you maybe give us an idea at least to what you think the lead lag between those two markets is? Is it two quarters? Is it three quarters? Is it four quarters before we really see a material uptick in floater activity after the jackup market has already started to move?
David W. Williams - Noble Corp. Plc: That's a great question, and I'm not sure we can. I would say that for the jackups, the range of jackup capability and specification is pretty wide, and we are – specifically with the last 10 rigs that we built – we have 14. We have four older legacy rigs that are all – have good contract cover. But the other rigs are specced at the absolute peak of that market, and so, as Simon pointed out in his comments, we're engaged in a lot of HPHT or a lot of high specification work. And I think that's an advantage for us insofar as that our range of capability is from the absolute peak of what a customer could want down to our ability to compete on any work. So for us, I would say that our ability to respond and maintain a high level of jackup utilization is going to be better than most. The good news about the jackup market is that so many of these rigs that are being built by speculative capital in the Far East yards are not finding their way into the marketplace. So this huge overhang of newbuild rigs that was prospectively coming into the market is not happening, as those rigs are being built and stacked. And so those rigs are out there to the extent that operators still have work, or are able to compete for that work, as that market's held up fairly well. The floater business is a little bit different. We're specced at the very top of the heap, but a lot of rigs are specced in that market. And, again, as I said earlier, there are not that many – the customers that primarily drive the ultra-deepwater, it's not a huge range. There's a number of customers, large IOCs, in some cases some NOCs, and they have some different challenges, but they will come back to the market. So in terms of how many quarters it's going to be, the lag, I'm not sure I could answer that. I would argue probably the jackup business, at least for us, is probably not going to get quite as challenging as the floater business is going to get, so it's going to return sooner. The floaters are going to take a little bit of time. Simon, do you have anything to add to that?
Simon W. Johnson - Noble Corp. Plc: Yeah, look, I think it's also important to understand that in the jackup segment that the investment intensity is somewhat reduced. The CapEx thresholds are lower, the investments will return faster, generally speaking. And, as David said, the deepwater's more a story of volume replacement, of balance sheet strength, et cetera. But I would like to make the point that it's also – a lot of people focus on jackups versus floaters. I think that that sort of downplays the role of basins and fiscal terms. Access to infrastructure, the key terms that concessionaires face, that can often trump one class over another when you look at the worldwide opportunity set as a whole.
Edward C. Muztafago - SG Americas Securities LLC: Yeah, that's fair. And maybe, Simon, I can just sort of follow up on the basin issue. Clearly, Statoil is making some real progress on the cost front, as evidenced by the announcement this morning. Now that you've got the Lloyd Noble up there, do you guys view that as a perhaps expanding market for you going forward, even if activity recovery remains a little bit more muted?
Simon W. Johnson - Noble Corp. Plc: Do you mean Norway or that jackup barge?
Edward C. Muztafago - SG Americas Securities LLC: Yeah, Norway specifically.
Simon W. Johnson - Noble Corp. Plc: Yeah, well, the rig was built such that it can obtain an IOC and enter the Norwegian sector. That was a critical element in our early discussions with Statoil. We attribute a great strategic value to that. It's a part of the market that in recent years we haven't had the right equipment to operate in. So we are very encouraged by the opportunities it might present ourselves. We feel that with Statoil that there's particularly a meeting of minds in terms of compatible operational cultures and approaches, and we're looking to build on that. We're hoping this will be the first of a number of associations between Statoil and ourself going forward, and, yes, we are very focused on the potential of the Norwegian sector going forward.
David W. Williams - Noble Corp. Plc: I will remind you, though, the rig is working in the UK sector, so the cost to operate that rig is a UK cost, even though the rig's NORSOK compliant, it's a UK cost, not a Norwegian cost, so it's much lower than Norwegian rigs.
Edward C. Muztafago - SG Americas Securities LLC: Okay. Thanks, guys. Really helpful.
Jeffrey L. Chastain - Noble Corp. Plc: Okay. With that, we're going to close this morning's call. I'd like to thank everyone for your participation today and your continued interest in Noble. Please make a note that we expect to report our fourth quarter 2016 results on February 9, with a call to follow on the morning of the 10th, and we'll confirm those dates as we get closer. Lindsay, we appreciate your time in coordinating today's call. Good day, everyone.
Operator: This concludes today's conference call. You may now disconnect.